Operator: Good morning and welcome to the BioXcel Therapeutics’ Third Quarter 2021 Financial Results Conference Call. [Operator Instructions] Just to remind everyone certain matters discussed in today’s conference call and or answers that may be given to questions asked or forward looking statements are subject to risks and uncertainties related to future events and/or future financial performance of the company. Actual results could differ materially from those anticipated in these forward-looking statements. Risk factors that may affect results are detailed in the company’s most recent public filings with the U.S. Securities and Exchange Commission, including its quarterly report on Form 10-Q for the quarterly period ended September 30 2021, which can be found at www.bioxceltherapeutics.com or on www.sec.gov. As a reminder, today’s conference is being recorded. Joining us on today’s call are Dr. Vimal Mehta, Chief Executive Officer; Richard Steinhart, Chief Financial Officer; Vincent O’Neill, Chief Medical Officer; Frank Yocca, Chief Scientific Officer and Rob Risinger, Senior Vice President of Clinical Development. It is now my pleasure to turn the call over to Dr. Mehta, the CEO of BioXcel Therapeutics. Please go ahead.
Vimal Mehta: Thank you, operator. Welcome, everyone and thank you for joining our call today. We will update you on our financial performance and business highlights for the third quarter of 2021. As you know, BioXcel Therapeutics is a clinical stage biopharmaceutical company, utilizing artificial intelligence approaches to develop transformative medicines in neuroscience and immunooncology. It is a very exciting time for the company. And we are pleased to report tremendous progress in our neuroscience and immunooncology franchise as well as commercial and launch planning as we near our January 5 PDUFA date. We have many accomplishments to discuss today. Let’s start with our most advanced program in neuroscience, BXCL501. For the acute treatment of agitation associated with schizophrenia and bipolar disorders 1 and 2. As a reminder, this is our lead investigational candidate that we download from first-in-human trials to FDA acceptance for our NDA filing in under 3 years. This speed is remarkable as we are not aware of any other AI-driven drug discovery and development company that has achieved this milestone as efficiently. We are now less than 2 months away from potential approval and our commercial and launch readiness activities are advancing well. We have expanded our sales leadership, including on-boarding a VP of Sales and Regional Sales Director. They have deep neuroscience expertise, with multiple product launches in both institutional and outpatient settings and experience working for startups and large companies. We are also focused on recruitment for our sales team across key territories. We are finalizing our market access and pricing strategy through evidence-based market research for 501. Through two strategic initiatives, we are continuing to educate key audiences about our innovative products with no similar launch analogs. First, we have fully launched our disease education campaign, promoting awareness around the acute treatment of agitation in schizophrenia and bipolar disorder. This is a broad multi-channel campaign that includes broadcast and product theater presentations by key thought leaders. The campaign is designed to educate healthcare providers on the full spectrum of signs, symptoms and level of severity associated with agitation, and the importance of prompt non-invasive treatment for patients with schizophrenia and bipolar disorders. Second, our medical science liaison and medical managed care teams are actively engaged with healthcare providers at the institutional level and at conferences around the country. At several recent conferences, we had educational booths that effectively informed participants on how to assess agitation and a schizophrenia and bipolar patient and follow treatment guidelines. We will continue to actively participate at industry leading conferences in the months ahead. Two strategic initiatives are continuously providing us with valuable insights for commercial launch, while building important awareness of agitation associated with neuropsychiatric disorders. We are excited about the possibility of bringing a potential new treatment option to the millions of patients struggling with acute agitation associated with schizophrenia and bipolar disorder. Equally significant, 501 has the potential to be the first innovative product new therapy for these indications in more than a decade. Our neuroscience franchise is growing rapidly. In fact, we believe that 501 pending approval and commercialization is just the beginning. And you will recall we have a three-pillar portfolio expansion strategy for BXCL501. We intend to expand indications for 501, extend our geographic reach and grow the medical settings where our treatments are offered. Let me quickly review our progress within each of these three pillars. First, reflecting our indication expansion pillar 501 represents a pipeline within a product and we are advancing 501 across several indications. We plan to initiate a Phase 3 program evaluating 501 for the acute treatment of agitation in patients with Alzheimer’s disease in Q4 of this year. This follows multiple meetings with the FDA and strategic considerations related to clinical, regulatory and commercial potential. Alzheimer’s disease is the most prevalent type of dementia in the U.S. For context, in Americans over 65 years old, Alzheimer disease is expected to double over the next 20 years, increasing from 5.8 million in 2020 to 11.8 million in 2014. Up to 70% of those patients experienced agitation with an estimated 100 million episodes of agitation in the U.S. every year. We believe 501 would mark the first orally available therapy, if approved, where there are currently no FDA approved therapies. Given the unmet medical need in this area, we intend to pursue BXCL501 in other dementia subtypes as part of our future development. Beyond dementia, we are expanding 501 into new indications, including a Phase 1b/2 trial evaluating 501 as an adjunctive treatment in major depressive disorder or MDD, a major public health burden with a high unmet need. It is estimated that 30 million or more Americans are currently on antidepressant, with 25% of those diagnosed remaining ill after starting treatment. Our team is preparing to submit an IND and we expect to initiate a clinical trial in the first half of 2022. Second, as a part of our geographic expansion strategy, we expect to submit a marketing authorization application with the European Medicines Agency in the first half of 2022. For BXCL501, we believe the EU represents a sizable market opportunity similar to the U.S. The third pillar of our expansion strategy is to grow the 501 franchise across multiple treatment settings as part of our land-and-expand strategy. 501 has the potential to move into outpatient setting, which represents another large market opportunity. We are actively pursuing the development and expansion strategy for both our current and future indications. Our AI platform continues to drive our innovation and has spurred the clinical progress of BXCL501 into MDD and the discovery of BXCL502. At R&D Day, in September, we shared an in-depth look at how we apply this platform to accelerate our drug discovery and development efforts. We will continue to leverage our AI platform for building a sustainable R&D pipeline. We have already begun formulation and clinical development planning for BXCL502 for the chronic treatment of agitation and dementia. 502 is designed as a monotherapy and we believe there maybe a potential benefit of combining 501 and 502 as a treatment of agitation and dementia. Turning to our immunooncology franchise, we also made great strides progressing the BXCL program. As a reminder, 501 is an orally administered systemic activator of immunity candidate being developed for the treatment of aggressive forms of prostate cancer and advanced solid tumors. As further evidence of 701’s broad potential in hard-to-treat tumors at ESMO in September, we presented positive interim data from our ongoing Phase 1b/2 study of BXCL701 in combination with KEYTRUDA, demonstrated encouraging efficacy and a favorable safety profile in heavily pretreated metastatic castrate-resistant prostate cancer patients with adenocarcinoma. Building upon these results, we also announced the expansion of our de novo and treatment emergent small-cell neuroendocrine at CNC cohort. This is an area of high unmet medical need with no current standard of care. We expect to present additional efficacy data from the MD Anderson-led open label Phase 2 basket trial of 701 and KEYTRUDA for advanced solid tumors in the first half of 2020. Last week, the Journal of Immunotherapy of Cancer reported data findings suggesting 701 may enhance immunotherapy efficacy in cold tumor types such as pancreatic cancer. These findings also highlight the importance – potential importance of natural killer cells along with T-cells in regulating pancreatic cancer tumor growth. These encouraging results help validate our continued efforts to identify other cancer type that could benefit from 701’s novel mechanism of action. We continue to optimize the potential of our immunooncology franchise as we advanced multiple clinical strategies. To summarize, this is a very exciting time for BioXcel Therapeutics as we are rapidly progressing both franchises and preparing for commercial launch. We believe that we are uniquely positioned to take advantage of market opportunities in the near and long-term. Now, I would like to turn the call over to Richard who will give a financial update. Richard?
Richard Steinhart: Thank you, Vimal. I will now review our third quarter 2021 financial results. Research and development expenses were $11.9 million for the third quarter of 2021 as compared to $16.3 million for the same period in 2020. The decrease in expenses, were primarily attributable to a reduction in our 501 clinical trial costs. These amounts were offset in part by an increase in clinical trial cost related to BXCL701. In addition, we experienced greater professional and consulting fees, which were primarily related to the development of the BXCL501. General and administrative expenses were $14.9 million for the third quarter of 2021 compared to $8.5 million for the same period in 2020. The increase was primarily due to higher stock-based compensation and personnel cost due to continued expansion of our teams, increased marketing and commercial costs related to our preparation of the potential launch of the BXCL501 in the U.S. as well as increased insurance, legal and professional fees. The company reported a net loss of $26.8 million for the third quarter of 2021 compared to a net loss of $24.8 million for the same period in 2020. As of September 30 2021, cash and cash equivalents totaled approximately $252.9 million. Now I’d like to turn the call back to Vimal.
Vimal Mehta: Thank you, Richard. We would now like to open the call for questions. Operator?
Operator: Thank you. [Operator Instructions] Our first question is coming from the line of Greg Harrison with Bank of America. Please proceed with your question.
Greg Harrison: Hey, good morning, guys. Thanks for taking our question. On the 501 review, have you started labeling discussions and what are your expectations or goals for the label and how do the different options there impact your commercial expectations for the drug?
Vimal Mehta: We expect the labeling discussions to start soon. We have been addressing the information requests from the FDA. And we are under the window we are labeling discussions that are expected shortly. There can be two scenarios. One is we have no medical supervision and then it can go into the institutional setting and or in outpatient setting or there is a medical supervision requirement and then launch will be in the institutional setting. So, that kind of a base case we are looking at and we are presented in our commercial day that for institutional setting, we are ready to launch the product if that turns out to be the base case for our label.
Greg Harrison: Great. Thank you.
Operator: Thank you. Our next question is coming from the line of Robyn Karnauskas with Truist. Pleased proceed with your question.
Robyn Karnauskas: Alright. Thanks for taking the question. I guess I just had a question on the combination strategy 501/502. You are starting a Phase 1 trial. Can you just talk a little bit about how you are thinking about development strategy for that? I know for depression, it can be very challenging. And so when we think about Phase 1, how are you designing Phase 1 that you could really get a good sense of whether or not you will see a signal if you go forward? Thanks.
Vimal Mehta: So thank you, Robyn, for asking the question. Our first plan for 502 is to do the formulation. We have recently identified that candidate, one formulation has been completed we are going to pursue that as a monotherapy. The purpose of any combination benefit can be that if, as you know a lot of chronic therapies don’t work for almost six weeks. They don’t provide any benefit. But a combination with 501 can provide that extra benefit, that drug can start working onsite early as well as it can maintain like provide the benefit for the chronic aspect of the disease. So, that’s the thought process there. But initially, we are going to start as a monotherapy.
Robyn Karnauskas: And then just the same for depression and also 40 milligrams update when will we get the 40 milligrams dose data? Thanks.
Vimal Mehta: So, 40 microgram data for dementia, we have been completing that trial and doing some blinded analysis related to safety and other features. And we will be utilizing all that data in selecting our two doses for our Phase 3 program and we will report on that.
Robyn Karnauskas: Okay. Thanks.
Operator: Thank you. Our next question is coming from the line of Sumant Kulkarni with Canaccord. Please proceed with your question.
Sumant Kulkarni: Good morning. Thanks for taking my questions. I have a couple, now that you are closer to action date. Are there any commercial variables that you feel might need more focus what you are at or versus what you had announced on your Commercial Day in light of some of the changes that you have had at the top? And secondly, on dementia, on the dementia data could you give us some specifics on what exactly you are aligned with the FDA so far on starting a potential Phase 3 there? Thanks.
Vimal Mehta: For commercial, our focus has been in building our sales organization as we have a strong commercial leadership team to continue with our launch preparations. And as I reported that we have hired VP of Sales, regional sales directors and continuing to hire the sales team for those specific territories and regions, we have the sales – we have hired regional sales directors. So, that part of the process is progressing well. And second piece related to that is finalizing our pricing strategy. So, we have done a lot of qualitative, quantitative research, evidence based research to come up with a pricing strategy that will allow to capture the maximum potential of BXCL501. That encompass coming up with the strategy that will be a whack price. And once we have the whack price, what – depending on the medical settings, what discounting strategy will be. So, all of that work has been going on, and it’s near completion. So, those are the two important pieces, which will come together by the end of the year to get us ready for our launch upon approval of the drug by FDA. And regarding your second question about the dementia specifics, once we provide that we have initiated the trial we will lay out the full Phase 3 program that we have aligned with the FDA. At a high level, I can say it’s going to have a lot of components of TRANQUILITY, because that data resulted in our breakthrough therapy designation. One thing you have noticed is that we have chosen to go initially with Alzheimer’s disease to keep the focus for strategic reasons and get to the sNDA in a pure population in Alzheimer’s. So, we will continue to provide as we outline our Phase 3 program, what the key elements of design feature are in few weeks.
Sumant Kulkarni: Very helpful. Thanks.
Operator: Thank you. Our next question is coming from Colin Bristow with UBS. Please proceed with your question.
Colin Bristow: Good morning and thanks for taking the questions. Just to build on your comments on the sales build out. Could you just quantify how many you have hired versus how many you ultimately expect to hire? And then where are you in the process of replacing Will Kane? And then just as we think about the launch of 501, are you expecting to provide revenue guidance post approval? Thanks.
Vimal Mehta: Thank you, Colin, for the question. Answering your question that the total number if it is institutional setting, we have guided that it will be about 75 days, sales member team. So currently, as I indicated, we have hired that sales management team and we are continue to – continued to recruit the sales team. The regional sales managers are on board and they are defining their strategies and the territories that they want to focus in terms of bringing the sales teams on board and the timing for it. As you know our IDN is our key market. There are 57 IDNs and there are – they are the two-thirds of the overall market. So, we are building a strategy what will allow us to get the maximum coverage and how to ramp up the sales team. In terms of bringing on a Chief Commercial Officer, we currently are focused on approval as well as launch and we want to make sure that we can maintain the momentum with our current team and we are evaluating our options, what is the good timing to bring on the Chief Commercial Officer on board and we will report on that.
Colin Bristow: And on the potential sales guidance, post approval?
Vimal Mehta: So, what we will be able to like once we have the approval and we have all our pricing strategy and all that fund up, we will provide a metric what we can use for the launch and what the guidance will be over a period of time. At this point, we are working through all of that and we will guide when we are in a position to provide the key launch metrics.
Colin Bristow: That’s great. Thank you very much.
Operator: Thank you. Our next question comes from the line of Ram Selvaraju with H.C. Wainwright. Please proceed with your question.
Ram Selvaraju: Thanks very much for taking my questions. Firstly, on the commercial side, I was wondering if you could provide us with some granularity regarding the factors driving what you expect from the perspective of market access and in particular, the attitudes of various payers to coverage of 501. And secondly, if you could provide us with any commentary regarding gross to nets, discounting and rebating that you anticipate to be in place over the course of the initial months of the 501 launch, please?
Vimal Mehta: Good morning Ram. Thank you for the question. Regarding your question about the discounting, only those discussions can be started once we have the approval to sit down across with the payers and come up with a strategy, one – first we need to come up with a whack price and then that discounting strategy and that will happen upon approval. Up till now, what we have is evidence based research, market research, that has been conducted that what is the value proposition for the product, what is the optimal pricing, and what pricing in different medical settings. So, all that groundwork is being conducted. And what is encouraging about the product is that product profile is very well received by the HCPs or any research we have done with potential payers, because it has – it meets as you know, 501 meets treatment guidelines, it has a very rapid onset of action, high response rates, as well as durable responses, and its oral therapy. So, we are very encouraged that for 501 value proposition in the marketplace is very strong. Now, we will initiate these conversations once we have the approval of the drug. And we will be able to provide more granularity on some of the questions you have asked.
Ram Selvaraju: Okay. Thank you. That’s helpful. Secondly, I was wondering if you could comment on kind of the timing and expectations regarding business development strategies around 501, particularly as this pertains to markets outside of the United States. And if you think that there is any positive read through from the recent announcement of Pfizer’s in-licensing of certain ex-U.S. rights pertaining to Nortech. And if you think that that might have some implications for what you ultimately intend to do with 501 down the road in order to optimize the value of the drug in ex-U.S. markets?
Vimal Mehta: Great question, Ram. So, we are initially focusing on Europe, because that’s where we are planning to file our MA application in the first half of 2022. So, answering your question, what will be the good timing for the BD strategy is 2022 to file our MA and then have a partner because then partner can get ready for the potential launch, based on the approval in 2023. We continue to evaluate and we continue to receive requests for other geographies, including Japan, China and other territories. And we evaluate those options. But currently, we are focused on getting ready for our launch and initiating the Phase 3 program in dementia. And second, from the business development perspective, we have prioritized Europe as our first territory, or if we find a global partner who is interested in all other territories, we will consider that as well.
Ram Selvaraju: And last question is, are you still contemplating a spin out of 701 into a separate entity listed or not? And what are the factors potentially driving the timing of this? And when we might see it occur? Thank you.
Vimal Mehta: So, we keep all our strategic options open for 701, which could involve licensing, partnering, co-commercialization, including the option you have outlined. We keep that and we will continue to work with the Board, what is the optimal option to maximize value for our shareholders. And at the same time, we are coinciding that with some of the data that will be coming out for 701 from our two trials, prostate cancer trial, that is we presented the data at ASCO and some of the data we will be getting in our advanced tumor trial. So, having the data and building a strategic option, then we will provide clear direction what our plans are for 701 in 2022.
Ram Selvaraju: Thank you.
Operator: Thank you. Our next question is coming from a line of Yatin Suneja with Guggenheim Securities. Please proceed with your question.
Eddie Hickman: Yes. Hi guys. This is Eddie on for Yatin. Thanks for taking the question. On the dementia study, if you don’t get an outpatient label for the current NDA, which I think is your current base case. What do you need to show in this additional Phase 3 to get that label change when you file for the sNDA. And then on the European side, can you just talk a little bit more about how big that market is and how the standard of care, especially for mental health differs between the two regions? Like what are the additional challenges in that market? Thanks.
Vimal Mehta: Look dementia, I just like to reiterate, our TRANQUILITY trial was conducted in ALF, assisted living facility, which is as close to the community setting. So, I will not compare our schizophrenia bipolar NDA comment that I made about the medical setting. So, in dementia, we have already accounted for that. And once you see the Phase 3 program, you will see that we have taken into account the medical setting that we will be conducting the trial. So, we don’t see that there will be a specific need for any of that in the dementia program. But that’s why we took our time and interacting with the FDA and come up with a robust Phase 3 program. That will allow us to focus on completing our sNDA for dementia. Coming back to Europe, Europe is a very different market. It’s I believe more challenging, particularly for neuropsychiatric disorders. But the area we are focused with 501 agitation, resulting from some of these diseases. There are no like standard of care that’s optimal like U.S., so that needs treatment guidelines. So, there is a huge unmet medical need. So, we are filing the MA, and it’s encouraging that with scientific advice from the EMA agency, we can use the FDA package to file the MA. In addition, the conversations we are having with the partners, they all see a huge potential in the indications we are focused for treatment of agitation. But the obvious challenges are the pricing. The obvious challenges are, there are multiple countries that you have to work with. Those are the challenges for any product. And we are very aware of that. And while selecting our partner, we are taking all that into account, who will be optimal partner to be able to launch this product successfully in Europe.
Eddie Hickman: Thank you. And just one final quick question, can you confirm that all the 501 manufacturing sites have been inspected by the FDA up to this point?
Vimal Mehta: What I can confirm is we don’t expect any more inspections from the FDA where we are in the process.
Eddie Hickman: Thank you.
Operator: Thank you. Our next question is coming from a line of Anita Dushyanth with Berenberg. Please proceed with your question.
Anita Dushyanth: Hi, good morning. Thanks for taking my questions. Firstly, I had a quick one on the FDA PDUFA date. With the agency currently sort of addressing all the backlog of applications, how confident are you of sort of receiving the decision by January 5th, or is there a possibility of them coming with a decision earlier, or how early are we likely to know if they were to extend that timeline?
Vimal Mehta: Good morning, Anita. Thank you for the question. We would love to have a Christmas gift. So, we can’t predict when the approval will happen. But what we can tell is that process is progressing well. And our team has multiple experiences of getting the NDA approval. And we feel very confident that we are at a good spot where we are in our review process.
Anita Dushyanth: Okay, that’s helpful. And then I just had a quick question on the basket trial with MD Anderson. What sort of additional efficacy data do you expect to see from that study?
Vimal Mehta: So, let me pass that to Vincent…
Vincent O’Neill: Sure. Good morning Anita. So, that study is continuing to enroll. We did announce several months ago now that both arms or each arm passed the efficacy bar to proceed to full enrollment. And so look to – without committing to any particular scientific forum, look to a large general oncology conference for that readout next year.
Anita Dushyanth: Okay. Thank you.
Operator: Thank you. We have no additional questions at this time. So, I would like to pass the floor back to management for any closing remarks.
Vimal Mehta: Thank you, everyone, for joining us today. I look forward to connecting with many of you in the coming weeks and updating you on our continued progress. Have a great day.
Operator: Ladies and gentlemen, this does conclude today’s teleconference. Once again, we thank you for your participation. And you may disconnect your lines at this time.